Operator: Good morning. My name is Tiffany and I will be your conference operator today. At this time I would like to welcome everyone to the Myers Industries Inc. Third Quarter 2016 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question and answer session. [Operator Instructions] Thank you. Monica Vinay, you may begin your conference.
Monica Vinay: Thank you. Good morning and welcome to Myers Industries’ third quarter 2016 earnings call. I am Monica Vinay, Vice President of Investor Relations and Treasurer for Myers Industries. Joining me today are Dave Banyard, President and Chief Executive Officer; and Kevin Brackman, Vice President, Corporate Controller and Interim CFO. Earlier this morning, we issued a news release outlining the financial results for the third quarter of 2016. If you have not yet received a copy of that release, you can access it on our website at www.myersindustries.com, under the Investor Relations tab. This call is also being webcast on our website and will be archived there along with a transcript of the call shortly after this event. Before I turn the call over to management for remarks, I would like to remind you that we may make some forward-looking statements during the course of this call. These comments are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based on management’s current expectations and involve risks, uncertainties and other factors, which may cause results to differ materially from those expressed or implied in these statements. For further information concerning these risks, uncertainties and other factors please visit the company’s periodic SEC filings or the company’s 10-K filing. I’m now pleased to turn the call over to Dave Banyard.
Dave Banyard: Thanks, Monica, and good morning, everyone. Thank you for joining us. I’m going to start on Page 3 with a summary of our Q3 results. Sales in the third quarter were in line with our expectations, down 6% to the prior year. That’s a result of the continued difficult capital spending environment that we are seeing in two key markets, our food and beverage market, and some [ph] in our auto aftermarket. Look, additional comments on that, the distribution segment was down more than that and some of that’s due to our sales initiative that, as I have said before, is still in the early innings. So we’re making some nice progress and I am going to go into a little bit more detail on that in a minute. On the gross margin side, we were down 230 basis points to 27%. That’s due to primarily two main reasons. One is the lower volume which is primarily in the distribution segment. Then in the material handling segment, we had unfavorable product mix and operational inefficiencies, and I am going to talk about that little bit in more detail later as well. On the SG&A, we made up a lot of that ground, with lower spending there of $6 million. Some of that was from some non-recurring expenses that we had in 2015 and then some of that was from reduced variable spend. End result is GAAP earnings per share of $0.01 versus last year of $0.02, I mean just in line [ph] from continuing operations of $0.04 versus $0.09 in 2015. The highlight of the quarter, I think, is our cash flow and you can see here we were – year to date were up $7 million in cash flow versus last year a deficit of $10.5 million, and really that’s from some of the items that I spoke about in the second quarter call, really coming to fruition in the third quarter. We were really paying very close attention to our working capital management and had some success with that in the quarter, as well as stronger discipline with our capital spending. Like to move on to Page 4 here. We have our GAAP income statement. Starting at the top with net sales, you can see we’re down little over 6% from $141.7 million to $132.7 million. You can see the impact of that on the gross profit line, $41.7 million last year versus $35.9 million this year. Now going a little bit more detail here on the gross margin line. As I said few seconds ago that a chunk of that is from lower volume in the distribution segment. But we did have unfavorable product mix in our material handling segment, that also drove some operational inefficiencies. As we’ve shifted our focus to manage the business focused on cash flow, that’s resulted in some -- exposing some of our operational weaknesses, and that’s what’s showing up here on our gross margin. We’re no longer managing these factories for absorption, we’re really being disciplined about our inventory and we’re taking the hit for that on our gross margin line to some extent. So we understand the problem, it’s going to take a little bit of time for us to fix that, but it’s more of a strategic challenge than just the short term one. You see here on the SG&A line next, the $6 million improvement – the 16% improvement year over year as I mentioned before, some of that is from non-repeating one-time charges last year and some of that’s from reduced variable costs. That resulted in an operating income of $3 million, slightly better than last year and then you can see at the bottom that translates into $0.01 of earnings. Next page – Page 5, this is our adjusted financial summary. Two things I will highlight on here. You can see after the adjustments that our operating income is down $2 million. When you do the math on that, the flow-through on that’s about 22%, which is below our gross margin and contribution margin, so not bad there, and the same thing for the EBITDA line which you can see at the bottom $12.5 million versus $14.4 million. So about 22% flow-through on our declining revenue. Moving on to Page 6, talk about the balance sheet and cash flow. Starting in the upper left with our balance sheet, team did a really nice job. Here you can see we paid down year over year a good chunk of debt. We have been able to hold our net debt to equity – excuse me, net debt to EBITDA ratio steady at 2.9. So given the situation we’ve had with our sales, I think that’s a pretty good result, I am pleased with it. Ultimately I think we’d like to see that ratio coming down. Now how do we do that? If you move over to the right, you can see the significant improvement we’ve had in working capital. And I want to say here we talked about this in the second quarter earnings call. We’ve really made the right improvements here. Inventory is down year over year 21% here, taking out capital where we don’t need it, and I think that’s the beginning of how we’re going to manage this business moving forward. So I am very pleased with that. Our goal, as I've said before, is to make our working capital a much smoother and less choppy portion of our balance sheet and I think we achieved that in the third quarter and I'm very happy with the team and their performance on that. And you can really see the results of that, if you move over to the lower left in the year to date cash flow. Cash from continuing ops, $18.6 million compared to $7 million last year, that’s more than twice what we had generated last year by this time and that's really fantastic and that’s the kind of thing that I'm looking for as we manage this business here. Moving -- continuing to the right on this, you can see that our capital spending year to date is significantly lower than last year. I want to take a minute here and talk a little bit about this because I've gotten questions about this before. I think this new lower capital spending is sustainable moving forward. It's a different mindset about how we run the business. In the past I think we’ve solved a lot of our operational challenges by adding more capital. My view is that we can solve our operational problems and challenges with better process. And so we're going to be focusing more of our attention on using the existing capital that we have and putting better processes in place and that's going to thereby, and it has so far this year, frankly reduced the need that we have for additional capital. I don't want to ignore the fact that there is some opportunity to grow and you do need to spend some capital to do that. We have done a bit of that this year and I'll point to where that capital has helped us grow. But we're also being a lot more disciplined about how we evaluate those projects. I'm much more willing to launch products at a higher cost point to start to make sure that we have the right product in the right market and eventually then spend the capital as needed there. So it's a different way of managing capital and I think that as we move forward we'll be able to sustain that. And you can see the results of both of the combination of better cash from continuing ops as well as the lower capital spending in a significantly improved free cash flow year to date. Moving on to Slide 7 now, spend some time talking about the segments. We'll start over here on the left with material handling. Sales are down about 3%. And as I highlighted earlier the majority of the down pressure on that is from -- is in the same areas that we've talked about in the second quarter, which is the capital spending in our food and beverage end market. And that continues -- particularly in the agriculture side of that is going to continue for the next couple of quarters. Offsetting that we've had some good success in the vehicle markets with some steady share gains both in automotive and in RV. Both of those markets have been strong in the third quarter and we've taken full advantage of that which has helped to offset some of the decline that we've had due to the capital spending pressures in the food and beverage. We've also had good progress in our industrial businesses. That market itself has been a bit flat kind of a little up, a little down here and there depending on which end markets those customer serve. But I think we've continued to hold and gain share in certain spots and it's a bright spot if you're comparing to other industrials. One last thing that I want to highlight on here is that our Scepter business had some nice share gains in the quarter. Now this isn’t revenue that's showing up today as you may remember the buying season for next year starts now. The Scepter team had a very good commercial strategy coming in to this buying season and executed really well and that's going to bode well for us going into 2017. At the bottom here, talk a little bit about the margins and material handling is really where we've had both the unfavorable mix as well as the operational inefficiencies. And this is a combination of the fact that our highest margin products in the agricultural business are down and we're supplanting that with additional volume in the vehicle markets. But I will say that as we've increased volume in some of those business lines we haven't been as efficient about it as we'd like to be. And so we're trading not only higher margin for lower margin product but we're also not as efficient in our operations and how we're producing that. And we'll go into a little bit more about that in a bit about how we're going to fix that. One last thing I'll highlight on here, we announced a few weeks ago some organizational changes and as part of that we've moved certain costs that had in the past been associated with corporate. It's not a lot but I highlighted on here because it has a bit of an impact in both of the segments and I wanted to highlight that as another reason why the margins are slightly different from what you've seen in the past here. Moving over to the right on distribution. Sales are down 13%, about the same as the second quarter which is what we expected. One thing I will say here is that the market indicators continue to move towards the positive. There’ve been a lot of mixed indicators in this particular market segment over the past couple of quarters but they're starting to click over to the more positive which we’re excited about, we think that bodes well again for the future here. One of the biggest drivers of that miles driven continues to be strong up 3% in the most recent numbers. But we are still continuing to see some softness in capital spending and the retread business which has been historically a large portion of our businesses also has continued to be under pressure. So those affected the quarter -- in the third quarter here. On our consumable side, on the regular day to day business we were very steady from the second quarter. So I think we have a stable platform here despite the fact that we've put a lot of effort into improving our sales force which has involved some turnover. So we're happy with the fact that as we've had a lot of this turnover we continue to hold steady on sales. But obviously we're going to be wanting to be seeing some growth out of this moving forward. On that note, I do want to highlight that again not showing up in the revenue in the third quarter but we did have a nice share gain with our vending machine products and services at a large auto dealer group. And I think that's the kind of win that we're looking for here and we're very excited about it for the team. On the margin side for distribution, the decline here was primarily due to lower volume and then I highlight some of the corporate costs that we've moved into this business that really equal out the amount of flow through that you'd see there. Moving on to Page 8, like to finish by going through our 2016 outlook for the remainder of the year and then talk about some more detail around our strategy and how we’re looking forward. Starting at the top with our outlook, we're holding our prior outlook for the year in sales with Q4 and full year revenue expected to be down mid to high single digits. And that's due to the same factors that we've been talking about since last quarterly conference call. With the weakness in capital spending in our food and beverage markets we do see steady sales run rate coming into the fourth quarter in our distribution business and are holding to that. And I will also say that we have seen a little bit of signs of life in Brazil with our beverage business, it's not a massive uptick but Brazil has in many ways stabilized which is nice to see. Over on the right you can see our markets and again to remind you that the up and down arrows reflect our view of where our sales will be in each of these markets for the full year. And you can see that the food and beverage market is really where the big drag is down high teens. And as I said I think we've seen what's happening with the crop reports and how things have played out this year. I don't think that dynamic is going to change in the near term. Other than the fact that we will pass through a one year anniversary here for its first quarter and so we'll have an easier comp if you will, not much solace there. The auto aftermarket being down as well, weighing on it, some of that’s capital spending and some of that again is as we've gone through trying to improve our sales force and our sales processes, we've had turnover there. Vehicle markets continue to be strong and that's been offsetting a lot of the decline we've seen particularly in the food and beverage. Moving on now to our strategic update. Want to start by saying we're very excited that we announced within the quarter 2 big hires. I'd like to welcome Kevin Gehrt who is a VP of HR. He's on board, and Matteo Anversa, that we just announced recently, is our new CFO and he'll be joining us on December 1. Very excited about the senior management team in place here. And I'd also be remiss if I didn't say I really want to thank Kevin Brackman for the time he spent standing into the CFO this year, he’s done a fantastic job and it's been a lot of work because he's got a lot of work to do in his regular job as well. So I really appreciate that and I think I feel lucky to have a very well seasoned and senior finance team with Monica, Kevin and now Matteo joining us and that's a key for me moving forward that we have great talent on board. And I'm really excited about the leadership team, both at corporate as well as at the businesses with Mike and Alex leading those two things. That's a key part to where we're starting. So where are we going from here is the next question that comes up. And in the last quarterly call I talked about the themes that came out during our strategic reviews of the businesses. And I'd like to add a bit more meat on the bone to that for you today. One of the themes I talked about was protecting the core. And as we've gone through that the purpose of understanding that is to really understand where we win. And what we've seen in both markets as well as the products and how we serve the customers is the places that we win are where we're providing a safe and efficient solution, a safe or an efficient solution sometimes both in niche end markets. And to help clarify that I want to give you an example of that, one I just gave you in the distribution business. We won this dealer network from a combination of things. One is, the obvious one is that we are bringing a product and service with our vending program to these dealers that adds a tremendous amount of efficiency to their operations and a ton of value in that, it's very easy to quantify that value. What you may not know also about that is that we have a program with our Patch Rubber Company which is part of this selling process called Do It Right which is an effort to teach people how to best repair a tire. And that's a safety issue if you think about it. And when we talk to this particular customer the combination of those two things we're teaching their technicians how to properly and safely repair tires as well as giving them the tools and the equipment with products and services to do it properly. That's a double sell and we really get a lot of value out of that as do our customers. And that's the theme that I think is really carrying it and the places where we win the best we do things like that. Now in addition to that I talked about simplify and if you look at our results this quarter it speaks to that. We're not very flexible in our manufacturing. And in the past as I’ve highlighted we used capital spending to solve a lot of our operational challenges. We need to use process to solve those operational challenges. We've gone out and done a number of lean events this past quarter. Those don't show up right away. The lean is a journey and it's a long journey. It takes a long time to effect this kind of change and it’s a cultural change in many ways. But that's the right way to do it and that's how we're going to focus our operations in the future. It also applies to everything we do really. But I'm highlighting here on the operations side because of the performance this quarter. So where does that leave us for near term priorities? I've been talking about this since I got here and it still remains that we need to further develop our capability to execute in niche end markets. That's where we make money the most, that's where we serve the customer best and that's where we're good. So we're going to continue to focus on those niche spots where we can really deliver value to the customer. To be able to do that, we've got to have good process and we've got to be disciplined. That includes our operations and I think we've found as we've lowered the water level with lowering our inventory and managing the business more towards cash this quarter, that we've highlighted some spots where we could be more efficient and that's going to take some time to work through. So the second piece of this is to really implement that culture of continuous improvement here. We have some of it but I think we can do more. And then lastly using the cash that we generate from this to pay down debt. We have to -- I want to get to a position where we have a more flexible balance sheet. I'd like to get there sooner rather than later. And so we're going to be focused on that in the near term as well. I just want to summarize before we turn it over to questions just to make sure I hit on the key points from the quarter. From the third quarter revenue came in as expected. And that's because the low cap of the capital spending environment of our customers in two critical markets but our focus on cash flow is really working. We're making solid progress on working capital and we've had a much more disciplined approach to how we spend capital internally and that's working and that's generating that operating free cash flow. There are some strategic gaps in our operations. It's putting near term pressure on our margins. We understand it. We're looking at a variety of different options to help us solve that but at the end of the day it's going to come down to process improvement and lean thinking in how we go about our business. And lastly for the quarter we have some nice wins in areas that are really going to help us change that game. When we can win with customers that value the products and services we're providing that's going to really play well with the kind of operations that we're trying to set up here. On the strategic side, we're focused as an enterprise in delivering safe and efficient solutions to our customers and that's really important. That's where we've been winning in the past and that's where we're going to continue to win in the future. To do that we have to put sustainable processes in place to make both our operations more nimble but also to improve on the kind of customers that we’re selling to and how we're selling to those customers. And the result of all that is going to be to deliver strong cash flow performance with a more flexible balance sheet for the enterprise. Now we need to change in order to excel at these things. These things are not inherent to us, it's going to take some time. It's going to take some culture change. We're working through that but I'm very excited because we have this -- a very strong management team, we have the right team in place to help effect that change. So with that we'll turn it over to any questions that you may have.
Operator: [Operator Instructions] Your first question comes from the line of Chris Manuel with Wells Fargo Securities.
Chris Manuel : Another exciting day. Hey, wanted to kind of get a sense around a few of the businesses where we are as we sit today. I know you're not ready to give out thoughts towards 2017 at this point but maybe if we can kind of think about what changes or how the trajectory changes as we move forward. Maybe if we kind of start with the distribution side. I know you put in a new sales model. I do appreciate it takes some time to kind of work through but you're now a couple quarters into that that we – does it continue to perhaps get worse before it gets better or are we close to an inflection point? You talked about some indicators getting better et cetera. How we think about that and then I kind of want to go through each of the businesses if we can.
Dave Banyard: Okay. Well I mean we're going to – let’s stick perhaps with the segment, look if you will, happy to talk a little bit about our markets. But let's talk about your question on distribution. First, let's talk about the market. There are a lot of mixed indicators as I highlighted before over the past couple of quarters in terms of the kinds of things that drive activity in this business. But I think as things have stacked up through the fall here, the predominant indicator in my view that bodes well for the future is miles driven. And that's continued to improve with gas prices low and I think that bodes well moving forward. I think the thing I would look for and I hate to say this because I'm not a big fan of reveling in the weather to make things happen. But I think that was one of the contributors to last year's – excuse me, this year's softness was we had a mild winter fairly dry summer, no incentive for people to change their tires. If we have a wetter winner or a colder winter that drives snow and so on and so forth which it looks like we will have, I think that's going to be a catalyst because people will be skidding and wanting to change a tire. So I think the combination of those two things, I mean the tires have to be getting more ball as you drive more on them. So I think those are good fundamentals for us moving forward. That's the market. When it comes to our own performance, if you think about how you go about a change like this, there's -- you have to go in stages. We have a very large sales force there. They've done things a certain way for a long time and it's hard to change people, even good people that are willing to change, getting them to change their habit patterns is difficult. So getting people that have been going to the same customers regularly and nothing else and teaching them how to find new customers and execute at those new customers, take some time. And then it takes some time to also evaluate our performance and make sure we're giving them the tools and then evaluating, do we have the right people and sometimes that requires change, sometimes people self select out. So we have a pace of turnover here and then you follow that with people that have to come up to speed. And we have thousands of SKUs that we want our sales force to be very well versed in, so when they walk into a new customer they can really value sell across our entire portfolio of products. But all of that takes time for people to get up to speed. What we've seen in the quarter which gives us some excitement about it is, that the newer people coming on, we're starting to see that improvement and we’re starting to look at certain metrics that will be leading indicators if you will of that improvement. And despite all that turnover we've had a very steady pace of business, a couple of the underlying things I look at with your things like the sale of the regular consumable products which is to me a view of the health of our overall business. The capital spending side is not a whole lot I can do about that. And frankly those products tend to be lower margin anyway. I'm more interested in building a base of strong customers with that that are buying more and more of the consumable products from us. And we're seeing some underlying things like that. So I think that's an area that we spend a lot of, focus on it this year, we're going to continue spend focused on it but it just requires the patience.
Chris Manuel : That’s helpful and then if we can kind of perhaps talk to some of the other parts pieces -- the industrial, or however you want to think about that but as we look at the different piece, you have listed your consumer, vehicle, food, bev, industrial – two have been down over the course of the year. I know you talked about comps getting easier for the food and bev piece next year but directionally vehicle sales are – or that piece we’re kind of at a peak seemingly there or some of the other piece, I just got – I guess I want to get your thoughts as to how we progress from here forward for each of these.
Dave Banyard: Okay. Talk a little bit about, I highlighted earlier that within our consumer business we had some success this fall with the buying season, very happy with the performance there and the team. And we continue to work on commercial process and product development in that business and very excited with the progress that team's made and we're going to -- I think that bodes well for 2017 there. I think I agree with you that the vehicle portion of the business is reaching a top, I don't know where I'd call the peak on it to be honest with you. The RV market has surprised me how it continues to press on. I think that industry has done a superlative job of marketing and that they've continued to grow in the face of really what some would say as beyond the odds. But in the car side you're starting to see some weakness, Ford and Chrysler coming out down in the quarter and so forth. So really what drives us our model launches, it helps the more model launches that are going on. So I think there's some continued pace in the near term for that. But overall yes there's potential weakness there moving forward. On the food and beverage side as I highlighted, I think Brazil has stabilized. That's a good thing. And so the pace of growth I don't know that it's going to be a V shaped recovery down there but I think we're going to see some growth there. On the agriculture side I think that's a little harder road at the moment. I don't think there's -- and if you look at the performance of a lot of those equipment manufacturers, they're running into the same problems that we are which is really there's a cash flow at the farms is such that they just need the cash flow to service their debt and to continue to stay in business and not buy new equipment. So that's that is hurting us and I think that will continue to hurt us in the short term in the next couple of quarters.
Chris Manuel : And then the industrial side, I mean I know there's a lot of parts pieces in there.
Dave Banyard: Yes, I'll be honest with Chris that the industrial environment right now is -- I think it's a reflection of our economy. Industrial production has been flattened forever. We have some pops where things happen and then other parts of the business are down and it's just -- there's just no real -- I think the right word for it, there is no catalyst at least in North America where we play the most or any kind of big change in direction. Now one thing that I do see that is helpful is we start seeing some of the emerging economies have a little bit more positive news. I mean it's sort of -- I guess it is election day, so we can talk this way to reflect a little less worse sort of in some of the emerging markets and that obviously our economy serves them in many ways as an export economy and that should help. That's part of the drag we're seeing. But I mean commodities, I don't see a ton of -- there's not a ton of catalysts that are showing those markets changing and that is a big chunk of what we call industrial in the world. So it's hard to say that it's going to be anything different than what you're seeing here.
Chris Manuel : Okay. One last question and then I'll jump back in the queue. A couple things that I pulled out of your prepared remarks from earlier were not running the business for overhead absorption but rather manufacturing what you wanted, needed for select markets, introducing some lean techniques for the business. My interpretation of some of that is, is parts of those efforts can create spare capacity both from lean as you do it more efficiently and if you don't want to run or parts or piece of thing, how would we think about your appetite or your thoughts around if you create some capacity and particularly as we see volumes that have been trading, do you have areas that perhaps product line you want to get out of or restructure to get size correctly from a go forward basis? And again I do realize that you're still in the final stages of putting together refining your enterprise strategy but how should we think about what that opportunity your thoughts around that going forward?
Dave Banyard: Yeah that's a good question, Chris and I'll answer it this way. First of all, we're looking at all the options available as we go through this. And we're focused on those options from a strategic standpoint. So when you think about capacity it's what capacity do we need for the long term not just the short term, hey our performance isn't great in this quarter we want to change the game for a one quarter period. So that's how I look at those kinds of questions. I think in the past we've been a bit too all over the map everything, then capital on it and go for it. We're going to be more refined in that. The best wins we have as an enterprise that we have had in the past are where we are in a smaller niche market and provide significant value to our customers. Now unfortunately one of those is significantly down right now and that's affecting our results but it's a great example of the kind of value we can provide and structuring our operations to be able to do that well is how I want to think about things. And then in the near term if we have other products that we're selling, we're going to keep continuing to do that. But I think long term there is opportunity to think about things differently. But it’s hard to say today because I don't have anything tangible to tell you specifically. And so I'd rather not do that.
Operator: Your next question comes from the line of Adam Josephson with KeyBanc.
Adam Josephson : Dave, I’ve got a bunch of questions for you, and no particular order. You talked about the inflexibility that you're dealing with with respect to the company's operations and the fact that the company’s pursued lower margin business in years past to keep the plants running full. Do you think you had a good grasp of all these issues in the business when you took over?
Dave Banyard: I think that -- I will say this, I think some of that is I think culturally different than I expected. I'll be honest in terms of how flexible and our answer to these kinds of challenges that have come up in the third quarter is different than I would have thought. But it's also different to how I think that the company's prior methodology is different than mine. And so as I've dug in and seen some of this, when you lower the water level so to speak is the way to describe it when you're talking about these things, you see the rocks and I'm not sure we've been lowering the water level to the right depth in the past. And so we probably just didn’t know the rocks were there to use that analogy. And so it is different to think about running this business to generate cash and as that is the ultimate measure of success and we haven't thought that way before. And so you have to think about in the past, if you weren't thinking that way and you were thinking more about margin is the only measure of success, you're going to make different decisions about your capital. And so that's how we've always done it in the past and the extent of the challenge there is maybe a little bit more than I thought so it's going to take a little bit more time. But I think that everybody is starting to come and understand it you can see that in our working capital performance this quarter that people are getting it. It’s just that you can't implement these kind of tools overnight.
Adam Josephson : Sure. A few others again, just random order here. You talked about Brazil having stabilized. I'm sure you know your large beverage customer down there it just cut its sales guidance for the year on account of profound weakness in Brazil. Whereas you're saying Brazil’s stabilized and they are, I believe, a very large customer of yours. So can you help me understand that apparent disconnect?
Dave Banyard: Yes, I think that what was happening before was a result of overhang from the M&A activity and I mean I think they're – the management of their spending was basically cut to zero and there's a negative reaction at some point to that. And I think there's a steady state here that's different from what we've experienced. I mean we had in the first half of this year where we had no orders and that's not sustainable either. And so I think they've reached a different run rate now where yes, overall the business is down but we haven't been following what I would say a pure market based volume.
Adam Josephson : I see. So the stabilization in your business is not necessarily reflective of beer consumption?
Dave Banyard: No, and I think that I would characterize Brazil this way is that the political stability that occurred over the past several months has helped quite a bit. There's more optimism in the country, you can see it in the customers down there a couple of weeks ago and you can see it in the people and the customers that we deal with. Now that doesn't turn into volume immediately. There is some pent-up demand that we would -- that helped a bit here but I think generally speaking we had -- that our business down there this year has been really low and that's not the forward trajectory. So there is, call it, a easy -- call it just that things are right and are starting to move in the right direction. As I said I don't think this is not a V shaped recovery at the moment but then again I've been surprised by that before. Maybe it is but I don't see those indicators but I certainly don't see things going any worse at the moment.
Adam Josephson : Sure. Just one on your profit outlook. To the extent you are expecting your profit to be down year on year in 3Q on account of the weak volume. Are you expecting the same in 4Q compared to a year ago?
Dave Banyard: I think that what you're seeing is what you're going to get from us in terms of the -- this was on maybe the low end of what we had expected but this is the dynamic of where we are in the short term. Yes.
Adam Josephson : In other words, okay, profit’s down year on year. Okay. Back to CapEx for a second. Yeah you talked about just becoming more efficient with your capital spending, it seems somewhat ironic that you're calling out lower capital spending among your customers and you guys are doing the exact same thing. But what you're saying is it's not – you’re cutting your CapEx guidance, that’s not reflective of what they're doing. It's simply related to changes internally, is that right? And is CapEx equivalent to 2% of sales indeed sustainable for you given that I would think material handling is somewhat capital intensive?
Dave Banyard: So a couple questions in there. Let me go through one at a time. I think the dynamic that our customers are dealing with is different than ours. So ours is a strategic change into how we're going to manage this business and what we're focused on. So whereas at our customers it’s a reflection of shortage of cash. That's not the case for us, and that’s why we’re managing it this way and that's why I can sit here and say this is something that we're going to continue to sustain moving forward because we've managed the business focused on capital spending first in the past to solve our operating problems and we're not going to do that to the same extent moving forward. So that doesn't mean there aren't opportunities, and capital doesn't mean that our material handling business is not going to use 4000 ton presses, we're going to use these pieces of equipment and they need to be maintained and they need to be repaired and refurbished when necessary replaced and our tooling is expensive. All those things still happen but -- we're going to make sure we're using that -- the capital we have more efficiently and that is a process change, not add more capital change. And I think in the past when we've had these inefficiencies the answer has been to add more capital. I think you see that a bit in our -- take for example, our vehicle business we spent a lot of capital the end of last year to go into that business. And we've won a lot of good contracts in that and have some growth there. But I don't think we're seeing the profitability that one would expect. And so I don't know that that was the wisest use of our capital, I will say that. It is what it is, we have it and it’s working but I think that we're going to be more judicious about how we use that in the future and focus more on the process.
Adam Josephson : Sure. Thanks and just two others. I know you talked about the macro earlier. The PMIs have picked up a bit lately for the U.S. They are in that I think 51 to 53-ish range now. Does that sound about right to you or what do you think -- does it feel lower than that to you just based on your commentary earlier that it just seems fundamentally flattish?
Dave Banyard: Well, I mean I don't know 51.5 is flat or not but or up – but yes, obviously a directional change from August. I think industrial has been performing at a good pace with the market. If you look at our – the best proxies for us are some of the bigger industrial distributors that they cross broad swap and they've had choppy results. Industrial production is not moving. So these are fluctuations up and down based on whether some more houses were built or whether it's some oil and gas activity has picked up. There are a little things that are changing the game in the short term but I think we're kind of on this flat trajectory that I don't see a major catalyst. Three or four years ago major catalysts around oil and gas, major catalysts around agriculture a little bit further back than that, emerging market economies really being in full steam with building a couple of years before that. So I don't see where that catalyst is today other than we're just kind of moving along at a decent pace. Automotive is probably -- if you want anything that's probably the biggest catalyst of any of this stuff. So it's probably getting some lift from the same place. We're getting lift elsewhere. Overall when you take the full basket of what's the industrial economy in the United States right now I'd say we're still moving along at a flat pace. I think at some point here in the near future you get past that magical five quarter downswing where you can start growing because you've got a little baseline.
Adam Josephson : Thanks. I mean just one last one, I think Chris asked briefly earlier about next year. But is there anything obvious to you in terms of the end markets or your internal improvements that would lead you to think that your profits would be up notably next year based on what you know today?
Dave Banyard: I am not going to comment on next year's profit at all. I think what I'll say about next year is I'll reiterate what I said a little earlier is that I think the fundamentals of the auto aftermarket business for us look good. We do have to execute and frankly that's on us and you can see I would be the first to say that we've had some gaps in execution this year. But that's the one market that I think has opportunity and as I highlighted in my strategic discussion, I think we have a very good value proposition there in a number of places. So I like what we're doing there and I like the fundamentals of that market and it's a great cash generator for us and has potential for growth. So there are a number of parts of that business that we really like and that's why we're spending a lot of time and effort and frankly some money on getting that business set up right. The other ones, it's too early to really talk here.
Operator: [Operator Instructions] Your next question comes from the line of Matthew Paige with Gabelli & Company.
Matthew Paige : I guess first looking at the RV market. There has been a mix shift in that industry for entry level products. Hoping you could speak to the impact to Myers at least based upon the products that you sell on --?
Dave Banyard: There's been some consolidation too and I think that the fortunate part is that in the consolidation they still manage those businesses independently. And one of the ones that was bought is one of the key players in that lower end trailerable business. We are agnostic and honestly deliver equal value across all ranges of the RV market, we're really a market leader there and so we serve those customers with our products in a variety of different ways. Some of the bigger models we provide different products too but I'd say we take advantage regardless of the mix in that business.
Matthew Paige : Right and moving to the food and beverage market particularly in South America. You noted that it started to stabilize. So is this a good time to make an acquisition in that space and if so are there opportunities that present themselves?
Dave Banyard: It's probably a good time to make acquisitions in Brazil, absolutely. I think if that's an area of interest, I don't know that we need to make any acquisitions down there to be successful.
Operator: Your next question comes from line of Chris Manuel with Wells Fargo Securities.
Chris Manuel : Thanks for taking some more questions from me. Actually I have four last things I wanted to ask but I'll try to be quick with them. The first, you did reallocate some costs as you mentioned earlier, it looks to be about $1.5 million, $2 million a quarter give or take. Can you help us with – how would we think about modeling that going forward? What is the allocation that gets moved or how we think about that?
Kevin Brackman: Yes, Chris, this is Kevin. The total allocation was about $2 million in total. And about three quarters of that would go to material handling.
Chris Manuel : And is that roughly going to be the same each quarter going forward?
Kevin Brackman: Yes, this was a catch up for the entire year of 2016. $2 million should be close to an annual number.
Chris Manuel : Okay, that's helpful. Maybe Kevin, I have another one for you here, on working capital I think you're to date, you're still in the hole or used up almost $14 million year to date although I appreciate you’re ahead of pace last year. What do you think the opportunity or how should we think about working capital in 2016 given what you're doing it looks like some of the payables being moved out further et cetera but how should we think about full year this year as the working capital opportunity?
Kevin Brackman: Yes, we finished the third quarter at about 9% of revenue and I would estimate that that's where we will end the year probably between 8% and 10% of revenue.
Chris Manuel : Is that a good long term rate?
Kevin Brackman: Yes, I think that's a good long term rate. Last year our free cash flow is down this year or will be down this year because last year we finished the year at about 3.5% of revenue. But we think long term 8% to 10% is a good rate for working capital.
Chris Manuel : And then Dave, kind of two questions for you. One is, in your prepared remarks earlier you mentioned strategic gap in operation. Can you maybe help -- what does that mean?
Dave Banyard: Sure. It's the lean thinking method of looking at each of our operations, this is not something that we are -- that we have a tremendous amount of depth in. And that's across the board and when I originally got here, Alex asked me a question or Adam asked me a question about what surprised me. I thought that there were only pockets of where that was -- where we had gaps there and say it's more broad than that in terms of where we think in terms of doing things in a process or in a value stream map type mentality and then individual process improvements within that. So that's an area that we're focused on. We're using consultants right now, I'd rather that talent be in-house. I'm very glad to have a VP of HR on board now that can help me with that and help us with that rather. And so that's what I mean when I say that. That’s a strategic imperative for us to be better at that.
Chris Manuel : Okay, that's helpful. And last question. You mentioned in Scepter getting some pretty sizable business wins and improving share. And I guess help – maybe if you don't mind use that as an example, walk us through what you've done there, how that looks? I do think you’ve had some new good products you were launching there, it was a new spout et cetera. But is that driven by new products and piece introductions, is that driven simply by pricing of product better in a market? How do you win business, keep it sustainably and do it in a profitable manner?
Dave Banyard: Right. Well it's a combination of all those things that you mentioned. But it starts with -- we did a lot of marketing work earlier on in the year and that helped us really understand the key drivers of value in that business. So when you understand that better, you can really go in and talk to the customer about what they want, what they need and how you can help them be successful. And I think we demonstrated that a bit with some of our customers this year. We -- as I highlighted in the past we didn't launch products on time and frankly as we looked at what we were trying to accomplish with those it was a bit more ad hoc than well thought out. And so this year we put our minds to being well thought out as far as listening to the customer and understanding their needs and presenting them with the proper package of products and services. And that went over very well. And then next steps are how do we innovate and how do we continue to improve on that and that's what we're doing today. So it was a much more well thought out commercial strategy than a, I’d say, a rush in to show the new.
Chris Manuel : Okay, that's helpful. One last question I forgot that I wanted to ask was, how would you think about or how would we characterize new business commercialization at one point in time and this is historically two, three, four, five years ago, it was a big effort to get new patents, launch new business, try to go at things a little differently. Where are you at today, is that still the focus, do you think about new product development or how would I think about as a portion of a pipeline, I guess what the thistles [ph] being that new products tend to be more profitable or create a new sustainable edge?
Dave Banyard: Right. Well I think the Scepter example that we were just talking about is a perfect example of the right way to do it and how we're going to do it moving forward because commercial strategy product is an element of it. It's not all of it. And so Scepter is a good example, and Myers tire supply is another great example where you can do all the great engineering you want and launch a great product. But if you haven't thought out whether that's exactly what the customer wants or that you have the right service level with that customer, then you're not going to have much success. And so my goal this year has been to really get the teams to think that way which starts with marketing and understanding what the needs are in the market. Some of that is understanding and maybe taking a little chip off of your ego which we all have at some point that says we're the best and saying boy, somebody else might have beaten us here, what are they doing and why are they beating us and doing a full analysis like that first and then going in with a commercial strategy that says, here's what I have today to sell you. And here's what's coming down the road that might be an innovation that solves the kind of problems that I think as I've highlighted on here, the safety type problems, efficiency type problems. These are things that our customers want us to help solve them for them and if we can understand that better we'll put the right products and the hands of our sales team and actually value sell that. I don't think we've never really focused on tools like value selling and that sort of thing. So it's you can have all the great product development that you want but if you can't sell it well, if you don't have a good strategy of where to target it, it doesn't matter. And so we've had to build some muscle in that regard this year and it continues, it's not yet done. We're certainly not done.
Operator: Your next question comes from the line of Adam Josephson with KeyBanc.
Adam Josephson : Dave, hi thanks for taking my follow up. I just had one more in Brazil. This is – I appreciate this is not an easy question to answer. But if the tone is getting better there generally speaking, can you help me understand why your largest customer and one of the world's largest companies would have just reduced its revenue outlook for this full year because of Brazil, because it was weaker than expected in the third quarter, presumably that would have reflected whatever increased political stability there is now right?
Dave Banyard: I honestly can't answer that question. I don't know, Adam. So appreciate the question and I have sold that as well. And frankly I was a little surprised by it but I think it comes back to it's all relative. So what were expectations? Are expectations have been very low. And so I'm happy to see some activity. As I said I don't think the Brazilian economy is coming raging back but you're seeing better activity than the darkest days which were a couple of quarters ago. And Adam, one last piece on that, I am sorry, I will say, I mean this is a fairly small part of our business. So while it's important that we understand that market really our focus there has been on really making sure we're running that operation efficiently and serving the customers that we do have there. So it's not a huge portion of our business at this point. End of Q&A
Operator: There are no further questions in queue at this time. I’ll turn the conference back over to our presenters.
Monica Vinay: Thank you. We thank all of you for your interest in Myers Industries and your time and participation today. As a reminder, a transcript of this call will be available on our website within approximately 24 hours. A replay will immediately be available via webcast or call. Details can be found on the Myers Industries’ website under the investor relations tab. Thanks and have a great day.
Operator: This concludes today's conference call. You may now disconnect.